Operator: Good afternoon, and welcome to the IXICO plc Final Results Investor Presentation. [Operator Instructions]. Before we begin, I would like to submit the following poll. And I would now like to hand you over to Chief Business Officer, James Chandler. Good afternoon to you.
James Chandler: Good afternoon, and thank you for joining the financial results presentation for the 2025 year. Great pleasure in introducing Bram Goorden, CEO, you can see on the call on your left. And Grant Nash is on the right of your call, who's the Chief Financial Officer and Chief Operating Officer. We've got a presentation that will probably take us sort of, I would say, up to sort of 20 minutes, 25 minutes. We want to leave plenty of time for questions. We have seen that the questions that have been submitted now, so we'll try and get to those 2. All other questions we will get to at the end. So please ask questions towards the end, and I will let the 2 gentlemen now kick off with the results presentation.
Bram Goorden: Well, thanks very much, James, and welcome, everyone. Thanks for taking the time to witness and listen to the results, which we're presenting for 2025. I'm delighted to confirm what I think has been a great year. If we go to the next one. And maybe before I do that, just to sort of set the scene for those who are less familiar with us, we are IXICO. We are a leading imaging CRO business in the CNS space, so central nervous system in the neuroscience space, which we believe is becoming an ever more fertile ground for us to operate in, as you will see also through some of the data that we're presenting today. And the services that we offer are very much based on an AI-driven biomarker analytics platform, obviously, surrounded by an expert team with whom we deliver A2Z services mainly to biotech and pharma, but more recently also to the diagnostics industry, and I'm sure we'll come back to that today as well. Maybe just to highlight that we are currently serving 28 studies -- as you will hear later on, we have actually served 38 projects over the past 12 months or in 2025. And then obviously, on the bottom, the number of brain scans analyzed is an ever-evolving number as well. And that is, of course, sort of the goal, which we're sitting on because that is the data that also feed our AI-driven platform. The business model of the company very much holds as well for those who may remember, I joined the company about a year ago. We then actually also did a capital raise and very much redefined what is our strategic focus, but very much basing ourselves still on the strengths that we have in-house. So at the one hand, the IXICO AI platform, it's a platform that has been completely revamped, which we actually went live with about 12 months ago. Every new customer is now coming on board that new platform, which is very exciting. And over the past 12 months, we've also seen that it really works well. IXICO expertise, as already mentioned, those are the people working with us, mainly at the headquarters in the U.K., but also worldwide. And again, as you may remember, we've actually increased our footprint, especially also in the U.S. The main activities are then imaging biomarker development, trial management and then analyzing the data, which is very much the results that pharma and biotech contact us for. Maybe just to highlight that to the right-hand side, you see some of the key disease areas which we are operating in. Most people that know IXICO since its 20 years existence know that we're an absolute leader in rare CNS disorders and especially Huntington's disease. But that more recently, we've now really deepened our footprint, especially in Alzheimer's, Parkinson's disease, but also active in other disease areas. As mentioned, the focus on CNS is very much a stronghold. It gives us focus. It gives us clear purpose, and it really makes us that global leader in that space. And as you will see in a minute, this is a space which is very much growing. This is how we like to measure and look at ourselves after we did this capital raise around a year ago. You may remember that the strategy, which we set forward then was innovate, lead scale. And if you look at the right-hand side of this slide, these are some of the KPIs that we have been measuring throughout. And this is sort of the picture today, if you wish, against some of those measures. So starting with the first bucket, innovate, which was very much about equipping the platform, so the IXI platform with novel algorithms, novel biomarker algorithms in order to go deeper into that AD/PD space and then deploying that platform with customers, which then leads to diversification of our portfolio, so therapeutic area diversification. We feel it's appropriate to put sort of green there across the board because very clearly, we have made those investments. We have put these algorithms on platform. And so we do feel that IXI is very much equipped now to go deeper into these disease areas. And that's, of course, also what has resulted into the, I would say, excellent revenues for the past year and also the more recent big order book increase, which we will come back to. There's this little white box here, novel IXI applications and revenues. I made it wide because it's not necessarily what we set out to do over the past 12 months, but we did sort of uncover over the past 12 months that clearly there are other technology applications, which are presenting to us and which we do believe we can capitalize on. And that will actually come back then to some of the strategic partnerships, which we are further pursuing and which we're hoping to report out to you later in the year in 2026. So moving on to the second one, lead. That is very much about then making some noise around the innovation, which we've put on platform and also much more deliberately working together with key opinion leaders, with thought leaders. You may have seen that we actually did some press releases very recently where we announced that we're working together with Mike Weiner, Professor from UCSF in the U.S., Joanna Wardlow from the University of Edinburgh. And this is very much deepening now that expertise in that collaboration, especially in the area of dementia. So heightened conference attendance, more prominent KOL expansion, medical affairs, but then as mentioned as well, the operational and commercial footprint expansion, especially in North America. Data partnerships is an important one as well. We especially announced also the partnership or the deepened partnership, I should say, with GAP, the Global Alzheimer's Platform, where we solidified our access to the data in Bio-Hermes 2, which is a pivotal data set for us to further validate some of the biomarkers that we have on platform. And so the third bucket here, if you wish, the scale is then actually more sort of a lagging indicator. So what does this all result into? At the one hand, existing project revenue expansion. So this is actually about making sure that with our current clients, we see additional work as thought leaders, we've sort of positioned ourselves to look at what further biomarker research can be done, and that has resulted into revenue expansion in 2025. New biomarker revenues, which really relates to that new vertical that we're serving now, which is the blood-based biomarker space, so a diagnostic space. And then order book growth, which especially more recently, and you'll hear Grant talk about that, has quite drastically increased. So very much an indicator which we felt we could put on green where we are now today. Then in terms of pipeline expansion, I'm giving that a number. We see very much new projects coming on board. But clearly, 2026 is the year where I really want to solidify this so that we can keep also that order book growing. And obviously, that will then feed to revenue growth, which we have now projected in the market, as you may have seen, to be 15% for this year, 2026. And of course, the expectation is that, that will not slow down or on the contrary in the future. And then strategic partnerships, I'll come back to that, but this is very much how we would like to see further revenue streams develop, and that will be very much through partnering our technology in a different way than the service model that we do through the CRO. And again, I'll come back to that. I'm giving you the number, not because we're not making progress on the contrary. I think we've made a lot of progress, but it wasn't necessarily the strategic focus of 2025, and it will very much be the strategic focus for 2026. So this is then the year sort of in -- on one page and on a time line. So the Innovate Lead Scale strategy. I will not walk you through every event there because I think I already did that to some extent the past minutes here. But I think it's fair to say that after the capital raise, which happened at the beginning of the year, we had a somewhat slower H1. And so I think the results of that new strategy and of that capital raise really started to pan out in that second half of 2025. And that's also where we saw an order book increase then from GBP 13.1 million to GBP 13.8 million. And that momentum is really what we now see continued also in these first 2 months of 2026 with an order book that's actually landing at GBP 17.7 million. Obviously, we're early in the year. We're definitely not done. So we do have an objective of increasing that number further. But I think this is definitely a great level of comfort because it does inform and Grant will come back to that confidence around the revenue number, which we've put out there for 2026 as well. I've already highlighted some of the events that you see on this pipeline, like the Fujirebio FDA clearance, that was an important one because it was sort of our first collaboration with a blood-based biomarker diagnostic company. It was maybe a smaller project in value, but it was also a project that didn't take much time to complete less than 6 months, which means that revenue recognition around this type of project goes very fast. And obviously, that goes straight to the top line, and we've got more of those lined up now in the pipeline. And then, of course, the GAP deal, as I already mentioned, which then at the end of the day, led to a positive trading towards the end of the year. And then at the end of the year, we saw more Alzheimer's work coming on board, more rare CNS contracts coming on board. And then eventually, just in the new year, that Phase III trial, which was a GBP 3.5 million contract that we announced and which obviously has now had a very positive impact on our order book. So with that, I think I'm going to move to the next one. So the way we positioned the increase and the progress was very much by going deeper into Alzheimer's and Parkinson's disease. And you see that here with that platform progress, so these sort of green dials, if you wish, try to show how what we've brought on platform is now starting to have an impact in the market, so clinically with customers, but then also, of course, for us, commercially in terms of projects that we're landing. And I think it's fair to say that, that progress in Alzheimer's disease has been witnessed -- we have actually landed some of these contracts. We have also now opened this new vertical with the blood-based biomarkers, and that is very much thanks to those biomarker algorithms that we decided to bring on platform to further differentiate ourselves, of course, helped by increased footprint and commercial efforts. With Parkinson's disease, it's very much the same. It's sort of slightly more to the left because it hasn't translated necessarily into a massive pipeline of opportunities yet. The pipeline is there, but it's now about converting those into actual wins, and that is very much what we are planning to see in 2026. Huntington's disease, as you know, is an area where we are dominant. And so for us, it's very much about, if you wish, defending the fortress here. And of course, with the recent win of the Phase III trial, but also with onboarding some earlier-stage Phase I trials, we feel that we've very much proven that we're still very much the leader in that space. So with that, I suggest we go to the next one. And I think this is the last one that I'm presenting before I hand it to Grant, and then I'll come back to talk a little bit more about the future and some of the things that are exciting for us. I recognize that this is a busy slide, but what we're trying to do here is share with you how we are looking at the market and at the space in which we operate, so especially around these 3 main disease areas, Alzheimer's, Parkinson's, Huntington's, but then also the other rare CNS disease areas because we've seen a lot of momentum there and momentum, which is also informing our pipeline and our commercial success. So starting with Alzheimer's disease, I think as many will know, we've had approved drugs in that space since a while now by Biogen, Eisai and Lilly. And obviously, those anti-amyloid disease-modifying therapies are now very much informing also the next generation of pipelines, and that is strengthened also by novel biomarker solutions such as the blood-based diagnostics. So this is very fertile ground for us as you have also witnessed now in some of these wins. The other thing I would like to call out here is the GLP-1 development. Many of you will know that this is a class of drugs, which has really shaped a whole new area of obesity management, especially. Lilly and Novo are the 2 players that often come to mind, but there's hundreds of these assets actually in development at the moment. They are believed to also have an impact on dementia, which comes through metabolic and vascular pathways. And since we brought vascular biomarkers on platform 12 months ago, which at that moment, we sort of considered a little bit of bet, we do see that we're now in the middle of this opportunity, which obviously is something that we're very excited about. If we then move to Parkinson's disease, one of the key events is Roche, which entered into Phase III with their disease-modifying therapy. And that is a big step because Parkinson's disease has been an area where we've seen a lot of need and really sort of a gap in terms of bringing true disease-modifying therapies to -- further into the development cycle. We know that one of the key new biomarkers that is being looked at through MRI imaging is neuromelanin. And again, for those who remember how we started off the year, this is one of the key biomarkers, which we decided to bring on platform. So obviously, again, this brings us now in the middle of this field of research and so also close to the clients that we are targeting there together with associations such as the Michael J. Fox Association. And so then very briefly, Huntington's disease. For those who have followed the press, there's been some very positive press around it. There was actually a client of ours, uniQure, which got some very positive feedback from the FDA, which was then subsequently nuanced slightly because it was only a Phase I/II trial, which they were working on. And so there is a requirement for further efficacy endpoints. But at the same time, we see that these assets are further progressing. We also see that Novartis now initiated a Phase III trial. And you can see to the right that IXICO is actually supporting a Phase III trial. So I'm letting you connect the dots here. And then last but not least, other rare CNS. We mentioned that during our Capital Markets Day as well. It is a very thriving arena as well. And so we are actually serving some of these big pharma companies that are almost solely focusing in CNS at least on rare disease because they know that this is actually an area with especially gene therapy as very fertile ground. And again, since we have the platform since many -- or since 2 decades now that has really been equipped with some of these bespoke biomarkers, we see increased engagement there, too. So I think with that, I'm going to pass it to Grant for a moment, and he will talk a little bit more in detail about the financials.
Grant Nash: Thank you, Bram. I will talk through where we are in terms of our financial performance, our financial position and then go into a little bit of detail on our order book, which helps look towards the future. So on this slide, I'm presenting the financial performance in the company over the last 12 months focused specifically around revenues on the left, where you can see we've reported GBP 6.5 million of revenues across the year, which reflected 13% growth in revenues. That comes from winning new contracts and extending contracts, but also, as Bram mentioned, the diversification of those revenues to including the validation of blood-based biomarkers. As Bram mentioned, we serve 23 clients, 37 projects across the year. And with that increase in revenues, we also see an increase in our gross margin, the middle graph, which showed that we achieved gross margin of just under 50% for the year. That was increased by the revenue increase, which at this stage in our scaling accesses the operational leverage that exists within the business because we have a relatively high fixed cost base. So the more revenues we deliver by volume, the higher that gross margin will be. That was tempered a little bit this year because we made some specific investments in adding operational footprint on the ground in the U.S. to augment our service offering in that important market. The key point for us and to explain on gross margin is that -- the factors that influence it are the level of revenue. So the higher the level of revenue, the higher the margin will be, that operational leverage piece, but also the mix of trials. So we have tended to have more Phase I, Phase II trials, so early-stage clinical trials over the last few years, which tend to have a slightly lower gross margin than some of the later phase trials, the Phase III trials. As we start to see more Phase III trials coming into our order book has been the case in the last couple of months, so we can expect to see that feed through into higher gross margins. And of course, underlying all of that, we will continue to closely manage our costs to deliver the best and most efficient gross margins that we can. That all feeds through into our EBITDA position, our profit position over on the right. So we report a GBP 1.3 million EBITDA loss in the year, which is a 20% reduction in EBITDA loss compared to prior year. That again is driven by the revenue increase, which is really where the relatively high fixed cost base of the business means that additional revenues fall quite quickly through all the way through to profitability or profit position, offset to a certain extent by the investments we made following the capital raise a year ago, which are designed to drive forward sustained growth and ultimately sustained profitability. We also -- I just want to emphasize that when you compare our 2025 EBITDA loss of GBP 1.3 million compared to 2023, which is at GBP 0.8 million for relatively similar revenue levels. The reason for the differential is at that point, we were actually capitalizing GBP 800,000 more cost moving from our P&L to our balance sheet. So on a like-for-like basis, the comparison would be minus GBP 1.6 million in '23, minus GBP 1.3 million in '25. So essentially, we are delivering our revenues and our profitability more efficiently than we were a couple of years ago. Moving on to our financial position. We have a strong balance sheet position, closing cash of GBP 3.5 million, that was supported in the year by the capital raise we did in October of '24 with an underlying cash utilization of just under GBP 2 million. That -- those investments were driven by that capital raise we did, where we outlined that we were going to invest in the Innovate Lead Scale strategy that Bram has spoken to, and that has been obviously what we've been doing in deploying those -- in deploying that cash. The middle graph shows our capital investment, shows the fact that we have invested GBP 1.3 million in the year. About GBP 600,000 of that was in our platform, which is comparable to the GBP 500,000 we invested last year. In 2023, you can see we invested much more than that, almost GBP 2 million. And that was the completion of the deployment of our new technology platform, a key asset and cornerstone for our business going forward, which we launched in 2024 and which will become a key topic of this presentation when we come back to Bram in a moment. On top of the GBP 600,000 of investment in the platform, we also invested GBP 700,000 in data. This is absolutely critical for us in terms of driving the differentiation of the pipelines we use to support the biopharma industry in analyzing the data they're collecting in clinical trials. It's data that really separates us out from the competition, differentiates our product and creates a competitive moat to others in terms of the AI capabilities that we're able to deploy. And then for completeness on the right, we show a net asset position at the end of the year of GBP 11.7 million, increased by 24% on the prior year, supported by the capital raise and split round numbers into GBP 8 million of long-term assets, the investment that we've made in the platform and in data, which will drive our revenues over the coming years and move us back to profitability. Working capital of just over GBP 4 million, and we have almost no long-term liabilities whatsoever. I then want to just spend a moment or 2 talking through our order book. As a reminder, our order book is the value of contracts that we have signed but not yet delivered. So this essentially is the backlog and the visibility of future revenues that the organization will be delivering over the coming years. So in terms of future-looking KPIs, this is the key one because the growth in the order book is what gives you confidence in sustained growth going forward. I talk you through the chart, we had an order book at the end of September last year '24 of GBP 15.3 million. In the financial year, we delivered GBP 6.5 million revenues. We had GBP 1.2 million of trials whether were descopes or reductions in the value of the trials simply because the trials haven't been successful, and that's something that happens in clinical trials and particularly in CNS area. And then we won GBP 6.2 million of contracts, leading to a year-end closing order book of GBP 13.8 million. One thing I want to highlight here is that across the year, in the first half of the year, we had a relatively slow contracting period. We won GBP 2 million of contracts. That reflected the wider market challenges, which are well publicized, where biotech, in particular, was struggling to raise capital. And across the market, there was a relatively slow level of new trials being started and funded. We saw that pick up materially in the second half of the year where we signed GBP 4.2 million of new contracts. We believe that was driven by an improvement in the market conditions, but also the improvement in our capability to communicate to the market the differentiation of our products that came directly from that Innovate Lead Scale strategy, particularly that lead element of the strategy. So we finished the year with GBP 13.8 million, having grown the order book from the midyear point of GBP 13.1 million. But then very significantly, in the last 2 months since the year-end, we have won a further GBP 5.1 million of contracts. So what this shows is that since the financial year-end in the 2 months, we've recognized GBP 1.2 million of revenues. We've had no further client trial descopes, and we've won an additional GBP 5.1 million, which leads us to an order book at the end of November of GBP 17.7 million. So an increase since the end of the year of 27% -- that is important because what that meant is this morning, we were able to release improved revenue expectations for this financial year. So having delivered GBP 6.5 million last year, we're now -- the guidance in the market is that we will deliver GBP 7.5 million this year. That's 15% increase in revenues. We were confident that we could deliver that forecast because we have within that GBP 17.7 million order book, so that order book of contracted revenues, 84% of that GBP 7.5 million revenue projection already contracted. So we essentially have approximately GBP 1 million of revenue still to find in the remaining 10 months in the year, which is a very achievable target for us. So looking at the way that we've contracted across the last 14 months, so between the end of September '24 and the end of November '25, we've signed GBP 11.3 million of new contracts. 17 contracts totaling just under GBP 8 million were new. And then we have 35 contract extensions, so extensions on existing contracts across 15 clients totaling just under GBP 3.5 million, giving us an overall book-to-bill gross position of 1.5, which is very healthy, obviously, to deliver sustained growth going forward. I then got my next slide, which again focuses on the order book. This is quite a busy slide. What I want to -- what I'm showing here is in each of the 3 sets of charts, the position at the end of September '24, the position at the end of September '25 and the position at the end of November '25. What I'm going to do is I'm going to jump forward and just take out the September '25 figures. So you can see those overall trend across that 14-month point in time between the end of September, GBP 15.3 million order book and the end of November '25, GBP 17.7 million. And what I'm showing here in the graph on the left is that order book broken down by the projects within it. So each colored bar within the 2 overall bars is the value of the project held within it. So at the end of November, we had 28 projects in the order book at the end of September '24, we had 25. And you can see that we have a very well-diversified order book. We're not overly reliant on any individual project, which means that we have diversified away risk of -- or significantly minimized risk of trial descopes and cancellations because we don't -- we're not reliant on any particular specific project. But also, we've increased the opportunity that exists in our order book because every single one of those projects have the potential to move to later-stage projects, which we are then very well positioned to follow on with. So we essentially have a pipeline of opportunity that exists within our order book. So we have a GBP 17.7 million order book where we've reduced the risk and we've increased the opportunity. Then as you move to the middle chart, what this shows is that same order book by value, but split by the different clinical trial phase of projects. And what you'd expect to see over time is that you bring new projects in Phase I. If those projects are successful, they moved to Phase II. If they're successful, they move to Phase III. And what you can see is that, that has been exactly what's happened to us over the last 14 months. We've had projects in Phase I that have moved to Phase II, which is projects in Phase II have moved into Phase III. So you can see in 30th of November '25, our Phase III projects have moved from GBP 2.9 million 14 months ago to GBP 6.1 million of value. And those projects, we can expect to have higher project gross margins and will have higher proportions of analysis, which is positive for the organization. And then finally, on the right, you see the order book this time split by number of projects. And the reason we've done this is to show the split of number of projects that we have within HD, AD, PD and Rare. And what we have focused on is whilst we are committed to growing our order book overall, the investments that we're making and have made in the last few months following that capital raise, have been focused on expanding our opportunity in AD and PD. So whilst we're very pleased with the growth in our order book, and we expect to see that continue, where we want to see further growth is coming through the number of projects in AD and PD. Those projects will tend to be Phase 1 projects. So they'll tend to be lower value, but it's those projects that will lead to greater opportunity as they mature into Phase IIs and Phase IIIs. So at that point, I'm now going to move back to Bram, who will talk a little bit about the future.
Bram Goorden: Thanks, Grant. And I'm conscious that James promised a 20- to 25-minute presentation. So I'll try to be brief. But hopefully, you all see that this was a successful 2025, which is now translating into a great start in 2026, and that gives us as a team actually also the chance to think a little bit more around that medium to long term and where do we really derive value. And I did want to share that with you today so that you also understand what is the agenda of us as a company to create even more value as a company. So if you go to the next slide, the way we like to depict this, and I appreciate that this is a very sort of cartoon slide almost, but the thin line that you see here is our business today, obviously turned around because it hasn't always been growing over the past years. So as an imaging CRO, we do now see linear growth. We've just put out 15%, as Grant said, for 2026. And obviously, the expectation is that we will do the same or better even in '27 and beyond. And that will then bring us to that GBP 10 million in revenues quite rapidly. And just sort of to put things clearly, as a company, we believe to -- or we strive to be breakeven with the GBP 9.5 million top line number. So this very much is now within that time frame that we announced a year ago when we did the capital raise, but we don't want to stop there. We do believe that there is an opportunity, and it's also an inbound opportunity through partners that are reaching out to us to accelerate that growth towards that blue line, which we believe is going to be more through a tech bio model. And what we mean by that is that we want to start to partner our IXI platform in different ways than the way we're using it now, which is a little bit sort of a bespoke system, if you wish, that fuels the services which we offer. So we very much want to continue, of course, to be that leading CRO in the CNS space, but we also realize and acknowledge that we've got a technology, which is of interest to some of the bigger partners that we're working with. And so if you keep those 2 lines in mind, I've got sort of 2 slides to share with you. The first one, which is the next slide, shows how we're going to continue to go down that straight 15% at least growth line. And that has to do with the disease areas, which we have decided to go deeper into, especially Alzheimer's and Parkinson's disease. And so if you look at this chart here, and we start at the bottom, you see that Huntington's and rare, which is very much our bread and butter, it's our -- the market where we believe we are very dominant. We've sort of conservatively estimated that there's around 13 million in novel projects on an annual basis to gain. And we know that we've got access to the majority there, which is also why we say that we've got an 80% market share. In terms of how much we want to convert there, we're projecting 6 million. So that is what we need to win as contracts in order to make that revenue number that Grant was talking about before. And obviously, with some of these wins in the first quarter, we are very well positioned to achieve that. And so there's high confidence there. And then if you look at Alzheimer's and Parkinson's, obviously, we're now talking about much bigger markets, even if you could argue that conservatively or that there might actually be upside there. But for us, the work is now very much about penetration. So in this light blue -- these light blue bands that you see, that is the market which we believe is readily available for us. That is the market around which we're building our pipeline. And then I think quite conservatively, we're saying let's project to convert at least 3 million in projects in Alzheimer's disease and 1 million in Parkinson's disease. And I think most people will agree with me that this is a very achievable target, especially if you look at some of the most recent wins, especially also in the Alzheimer's and dementia space. But I think it sort of highlights a little bit how -- what we are projecting out there is not pie in the sky. It's actually very achievable, and I would argue maybe even conservative. And so this GBP 10 million revenue in the medium term is definitely something we stand by and that will be achievable. So if we then move to the exciting part, which is the next one or the other exciting part, I should say, how do we utilize our platform in different ways to further grow revenue at the one hand, but also increase the value of us as a company. So at the left-hand side, you see IXI as a platform, which is modular, flexible, scalable, but very much sort of our own proprietary technology that we translate into these A to Z services as a CRO. We're very much going to continue to grow that, as I just mentioned, but we also have 2 big other avenues of revenue generation, which we are pursuing and which we are now discussing also in terms of corporate development and technology development. The first one is what we call ICRO, which is further automating the platform, obviously driven by the AI evolutions, which we witnessed in the industry and which we are a driver of, I should say, and looking at how we can implement those into the platform to then further partner with other technology platforms that serve similar clients as ours. So it's pretty close to home as in we continue to serve pharma and biopharma, but we know that there's other players out there like large-scale CROs or data providers, electronic data capturing systems that have access to these same clients and with whom we could partner and integrate our platform. And it's a bit early days now to start to talk in great detail, but this is something that I'm hoping to communicate back to the market in the next coming months in this year. And then the second one is a clinical one, which has always been an obvious one, but which really we're now doubling down on. And that is how can our platform, which already is used in the hands of radiologists in the clinical trial space, be utilized closer to patients in the clinical decision space. And as you see at the bottom of these boxes, we're not necessarily suggesting that we're going to start to build the route to market and build all the teams around reaching these targets. We do want to partner with other companies that already have access there. And the good news is that these are partners today already for us. For example, in the clinical space, we are already today contracted with Siemens, GE and other device producers. So what we endeavor here is to accelerate revenue generation because we really do believe that we can get to a top line, which looks much closer to, say, GBP 50 million, but we also much more importantly believe that, that will really restore and further increase actually the value of us as a company because that underlying proprietary value will be recognized as such as well. So that brings me, I think, to the last slide, and then we'll be very happy to go into Q&A. Just to sort of summarize the investment case for us as a company. Obviously, financial performance comes first, and that is what we set out to do in '25. We will continue, of course, to do that in '26. But I'm happy to report that when it comes to revenue and order book, those boxes are ticked at the moment. Obviously, that work isn't done, but we are very much in the green. Scientific track record, the company has celebrated this 20-year track record. But very importantly, we've really expanded, I think, our reach by making sure that we work more closely with some of the key opinion leaders and that we give our Chief Scientific and Medical Officer also really that opportunity to strengthen that team as we communicate the innovation that we bring on platform. Then technology advantage, which very much comes back to what I just mentioned. We do believe that we're sitting on an underutilized platform that can be scaled in many other ways. And obviously, the ideas that will further equip the group of our Chief Technology Officer to bring that to life together with partners. And that market growth is not an unimportant one either. We are a leader in neurology. And we believe that, that focus on CNS, so on the neurodegenerative space is also what makes us so successful. And the good news is that this is a space which is very much thriving and growing despite some of the macroeconomics that we see in other areas. And so to the right here, value creation will come first and foremost, through that revenue growth, which we said was going to be double digit, and we sort of upgrade to 15%. But then, of course, also order book. And as I mentioned, that underlying value then from the technology, which I invite you to sort of stay tuned as we further develop that. So I'm going to end here, James, and I think we're ready to take some questions.
Operator: That's great, Grant. [Operator Instructions]. James, if I may now hand back to you to take us through the Q&A session, and I'll pick up from you at the end. Thank you.
James Chandler: Thank you, Alex. So we've had quite a lot of questions. So thank you for being so proactive on the channel. I think I'm going to go through each of them in order. There is a bit of repetition. So if I jump your specific question, it's probably going to get covered somewhere else. What I will also do in some instances is just start with perhaps a comment and then hand it to either Grant or Bram. And I'll read the questions out as we go. So the first question is, given the patent cliff pressures in the biopharma space and the resulting potential for increased M&A activity, how does the company anticipate this environment affects IXICO's position, competitively differentiates it and the likelihood of future contract wins as a result? And so I guess Bram is very well placed to answer this having spent most of his career in big pharma. But if I can just quickly sort of start to head on that question, which would be that I think patent cliffs and M&A activity are not new challenges and in fact, they are constant in the pharma R&D space. And generally, I think what we've seen in terms of pharma organizations facing patent cliffs, they tend to double down on new research. And I think as CNS is experiencing this renaissance that Bram has discussed and talked about at some length, actually, we're seeing -- there's a pressure on pharma to increase R&D activity, and this is likely to benefit IXICO. And then I guess on the M&A side, what we also see is as organizations consolidate, they tend to place a greater emphasis on vendors demonstrating specialist expertise and sort of proven quality and operational reliability. And again, that's an area where IXICO differentiates itself strongly. But as I said, Bram has spent a large time in big pharma. So perhaps, Bram, if you would like to comment on the question.
Bram Goorden: Well, yes, not much to add. I think you said it quite eloquently, actually, James. I think what's to remember here is that, that focus on CNS means that we're actually much more in an area where there is a renaissance of research and development. We now do see actually some of the big pharma players coming back to that arena after -- I mean, I don't think the surge in oncology research is done. I think there's a lot of unmet need there as well. But we do see that there's, again, appetite now from big pharma to go into CNS. And of course, when big pharma does that, that also helps fund some of the biotechs that often are the ones behind the Phase I and Phase II. And I think the most prominent example that we have witnessed from the first bench is in Huntington's disease, where we have seen that a smaller biotech got a product to Phase II which then was picked up by big pharma for GBP 1 billion, and that actually really delivered us then an opportunity to further the research with a Phase III. So while patent cliffs definitely put a lot of pressure on pharma, I think James mentioned it, doubling down on research is mostly the answer. And in CNS at the moment, we see that, that actually delivers growth, especially in the areas of dementia and Parkinson's.
James Chandler: Thank you, Bram. So I'll move to the next question, which there's quite a few of these. So there's quite a lot around when will we break even. And just to remind you, we talked about a GBP 10 million revenue target. We talked about a GBP 9.5 million breakeven point in that target. And Grant talked extensively also about how the investments made as part of the Innovate Lead Scale strategy have sort of accelerated the path towards profitability. But Grant, did you just want to cover again just that how we see that path to profitability?
Grant Nash: Yes. Thank you, James. I think you've given the key points there. But I think what I'd add is that we have deliberately taken the decision and was a key part of the capital raise we did 12 months ago to move this business not just to profitability, but to sustainable profitability. And we probably could get to profitability quicker than we would probably at lower than GBP 9.5 million. But actually, what we're trying to do here is build a business that sustains growth in terms of revenues and sustains profitability once we achieve it. And the way to do that is to ensure that we're addressing a market that is large enough that when you have peaks and troughs as you inevitably do in one particular area, you have other opportunities that sit elsewhere, which is why it's so important we break into AD and PD and that's what we're doing, which means that we, as an organization, would rather take a little bit longer to get to breakeven because we're making the investments upfront, knowing that once we get there, we're going to sustain it. And that's exactly what we're working towards.
James Chandler: Thank you, Grant. The next -- there's a couple of questions around when we see new contract wins coming. And I know that we spent quite a lot of time talking about the pipeline and talking about the order book and in particular, an uplift in both, in other words, opportunities that we're seeing coming into the business and then translating those opportunities into contract wins and clearly as Bram and Grant have talked through this presentation and also the forecast now in the market, we've got some confidence behind that. But Grant, I just wonder if you want just to cross check against the pipeline side again a little bit and just explain why we're feeling confident.
Grant Nash: Yes. So I think perhaps I'll start with the order book where, again, we sign contract -- when we sign contracts, these contracts generally are multiyear contracts. We have the benefit now that we have these biomarker validation type contracts, which are much quicker than that, and they can augment our revenues quickly. But essentially, what we're building with the order book is long-term visibility of revenue growth. So having moved to an order book of GBP 17.7 million at the end of November, we now have several years of visibility of strong revenue basis, which we can build on and accelerate our revenues further. So whilst that increase in the order book has still largely come from the success we've seen in Huntington's disease and rare diseases, with the investments we've been making in AD and PD, we're seeing more opportunities now coming into our pipeline in those therapeutic indications as well as HD and rare. So we're in a good position now, as I said, with 84% of our revenues for this year -- projected revenues this year covered already in contracts that as we strengthen our pipeline further, convert that into contracts, which we expect to continue to do across this year, that will drive that revenue line higher.
James Chandler: Thank you, Grant. The next question is around how the U.K. budget affected the, so the most recent U.K. budget announced a couple of weeks ago by the chancellor. And I think that we would say it was broadly positive. There were commitments made to investments on further tax incentives. And clearly, and Grant will speak to this in a minute, we'll continue to monitor and leverage favorable R&D tax credits. I think more broadly for the life sciences sector, what we saw is the announcement of the U.K. life sciences sector plan. And to remind everybody, that identified life sciences as a key growth sector in the British economy and signaling quite significant strategic support and sector level backing for that. And so we think this may help effect attract further investment in talent and possibly some favorable regulatory or funding conditions. And potential to strength in the U.K.'s competitiveness as a hub for biotech and medical research. So I think we saw it broadly positive. But Grant, did you want to comment at all on the specifics of the tax incentives announced?
Grant Nash: Yes, I can do. So obviously, we were pleased as a small cap U.K. business to see incentives like the expansion of the VCT EIS headroom available for companies in our area to raise capital. Obviously, there was an element of it being slightly muddled by the budget also reducing the tax incentive. But ultimately, we see that as broadly positive for the small company and the very important sector of innovative investment in new and exciting ideas, particularly obviously in our biotech med tech type area. And I think the other point that you touched on, James, is that our customer base is international. So whilst we are a U.K.-based company, a lot of what we're doing is based outside of the U.K. And it's, therefore, positive, of course, that there are U.K. incentives to drive for innovation, which is what we're doing, but it's also important that the wider market is available. So the U.K. budget has an impact, but it's not the be all end all for us. We were pleased, of course, there wasn't quite as much inflationary impacting items as there were perhaps 12 months ago, which ultimately will hopefully see interest rates come down a bit and make us -- make U.K. a bit more competitive worldwide. But yes, I think your answer was a good one, James.
James Chandler: And then just the last question we'll cover is, is there's sort of question about trial delays and cancellations in pharma and headwinds around that and then how resilient IXICO's pipeline is under those conditions. And I think the numbers that been announced today have demonstrated actually that we have some resilience towards that. I think also the fact that we're in the CNS space gives us some resilience to that. And I also think that we haven't particularly seen the pharma clients that we're contracting with canceling or pulling back on trials at this moment in time. But I was going to offer that question really, Bram, maybe to you to start with and then Grant, I think you'll have a view too.
Bram Goorden: Yes. We -- I mean, I think Grant has been quite clear on how we've been spared from that definitely in the recent past. I mean, we've seen some cancellations and some descopes in 2025, but nothing that was unexpected. So there's always going to be cancellations. There's always going to be some descopes. We are in the business of clinical research where not every asset unfortunately makes it into an approvable drug. We can't say that we've really experienced projects or programs that were stopped because of economic pressures. Maybe some delaying decisions. It's true that we would always want a faster sales cycle or shorter sales cycle, I should say. But I think that, again, is something that we are quite used to. And so I think at the end of the day, it is now very much around that diversification of the order book, which hopefully, Grant showed quite clearly where we are, at this stage, really not reliant on one big program or even a handful of programs, but where we really now have a very nice variety of programs across phases, across disease areas, across geographies. So hopefully, that answers that question a little bit. And then, James, I think you said this was the last question, but am I allowed to quickly chime into some of the questions that I see around differentiation of the platform?
James Chandler: Yes, please do.
Bram Goorden: I mean it is sort of our bread and butter, right? And I saw a few questions passing around. How do you measure differentiation versus some of the other CROs. I think someone is asking, is vascular on other platforms. So maybe to start with that last one. No, we took vascular as a bet, if you wish, 12 months ago because we feel that's really where the dementia space requires novel biomarkers. And we do believe we're on the forefront there. And so 12 months later, we're actually very excited about the progress that we've made there. And some of us come back from the clinical trials in Alzheimer's disease conference, which took place in San Diego last week. And very clearly, there's excitement around that space. And so we feel that, that was definitely a bet, which we made well. Now of course, that doesn't mean that others will sit still. So we do need to keep the momentum of our development. And so that brings me then to that question on how do you differentiate yourselves? I think there's sort of a quantitative and a qualitative aspect to it. The quantitative development is about making sure that we actually have the most novel biomarkers on platform. And we do believe that in that space of neurodegenerative disease, IXI as a platform is really superior to some of the others. And so we've managed to bring on platform functionality, which others don't have. But there's also the quality development because at the end of the day, why do we do this in order to allow radiologists to make the best informed insights around what you see in the brain. And obviously, that requires a very accurate and very precise AI-driven platform. That's what it's all about in order to actually see things which you would otherwise not see with the bare eye. And I invite everyone that is interested in some more details to look at the recording of our Capital Markets Day, where our Chief Technology Officer, Mark Austin, I think, did an excellent job sort of showing how you can sort of take a picture of the brain, whether that's an MRI or a PET scan. And then as you start to really overlay the technology, which we've built, you really start to now actually see what is happening there. And obviously, that is years and years of development and continuous training of the system. So sorry, James, if that took us a bit further, but I felt exciting about sharing that.
James Chandler: And Bram, we've got a few minutes left. So I wondered if you just wanted to pass any closing comments to those listen.
Bram Goorden: Sure. Yes. I hope we shared today that '25 was a good year. But having said that, for us, that's already long past. We're well into 2026. We wanted to make the effort to share what has happened over the past 2 months, obviously, because it's been exciting from a commercial perspective, from an order book perspective. But I think it also sort of shows you what's possible and how fast things can really now evolve in the right direction, thanks to the Innovate Lead scale strategy. So we are a company of more than 80 people worldwide. We believe that, that will be growing further actually in the next coming months, years as well. And I actually want to take also an opportunity to thank all these people because we've been working very hard. We believed in what we brought on platform to differentiate. And I think even if it is early stage and we're only getting started that we're now seeing really the signals of this being the right choice and IXICO making a bigger impact in the market. And so with that, I want to thank also everyone today to have taken the time to listen to our story for now.
Operator: That's great, Bram, Grant, thank you for updating investors today. I please ask investors not to close this session as you'll now be automatically redirected to provide feedback in order that the team can better understand your views and expectations. This will only take a few moments to complete, and I'm sure will be greatly valued by the company. On behalf of the management team of IXICO plc, we would like to thank you for attending today's presentation, and good afternoon to you all.